Operator: Good morning, and welcome to Grupo Televisa's Second Quarter 2025 Conference Call. Before we begin, I would like to draw your attention to the press release, which explains the use of forward-looking statements to everything we discuss in today's call and in the earnings release. Now let me turn this call over to Mr. Alfonso de Angoitia, Co-Chief Executive Officer of Grupo Televisa. Please go ahead, sir.
Alfonso de Angoitia Noriega: Thank you, Elcita. Good morning, everyone, and thank you for joining us. With me today are Francisco Valim, CEO of Cable and Sky and Carlos Phillips, CFO of Grupo Televisa. Before discussing our second quarter operating and financial performance, let me share with you what we believe are the key milestones achieved so far this year, both at Grupo Televisa and TelevisaUnivision. On Grupo Televisa, let me touch on 4 major achievements. First, our strategy to focus on attracting and retaining value customers in Cable has allowed us to stabilize our Internet subscriber base in the first half of the year and potentially grow it sequentially over the coming quarters. Second, we keep executing on the implementation of OpEx efficiencies and the integration between Izzi and Sky to extract further synergies. This has already contributed to expanding our consolidated operating segment income margin by around 80 basis points in the first half of the year to 38.1% driven by a year-on-year OpEx reduction of around 7%. Third, we continue to maintain a disciplined CapEx deployment approach to focus on free cash flow generation. So far this year, we have invested MXN 3.9 billion in CapEx, which is equivalent to 13% of sales. While we expect CapEx deployment to accelerate during the second half of the year, we are cutting our CapEx budget from 2025 to $600 million from the $665 million previously disclosed, mainly because we have had successful negotiations with suppliers, resulting in more favorable terms. And fourth, during the first half of the year, we have generated around MXN 3.6 billion in free cash flow, allowing us to prepay a bank loan due in 2026 with a principal amount of MXN 2.65 billion. This debt repayment comes on top of the $219 million principal amount of our senior notes already paid on March 18. Additionally, at the end of the second quarter, Grupo Televisa's leverage ratio of 2.2x EBITDA compared to 2.4x at the end of the first quarter, mainly driven by our free cash flow generation. And at TelevisaUnivision, I will elaborate on 3 key milestones. First, engagement and growth for ViX remained strong with momentum accelerating across both our free and premium tiers. Moreover, subscribers have now surpassed $10 million, implying double-digit growth year-on-year. Second, the efficiency plan to reduce operating expenses at TelevisaUnivision by over $400 million in 2025 is proving to be successful. In the first half of the year, our total operating expenses have declined by around 13% year-on-year for total savings of around $226 million. This shows a disciplined execution of our cost-saving initiatives, including lower content, technology and marketing costs and the normalization of our DTC related investments. And third, looking at TelevisaUnivision's leverage and debt profile. The company ended the quarter at 5.5x EBITDA, an improvement from 5.8x in the prior quarter, driven by growth. Furthermore, last week, TelevisaUnivision addressed its near-term debt maturity profile by refinancing $1.5 billion, eliminating the majority of its 2027 bond maturities. Deleveraging remains a core strategic priority for TelevisaUnivision and management remains committed to further strengthening the capital structure of the company during the second half of the year. Having said that, let me turn the call over to Valim as he will discuss the operating and financial performance of our consolidated assets.
Francisco Tosta Valim Filho: Thanks, Alfonso. Good morning, everyone. First, let me walk you through the operational and financial performance of our cable operations. We ended June with a network of almost 20 million homes after passing around 18,000 new homes during the quarter. In the second quarter, our monthly churn rate fell below our historical average 2% as we kept executing our strategy to focus on value customers, while working on customer retention and satisfaction. Our broadband gross has continued to improve on a sequential basis, allowing us to deliver more than 6,000 net adds during the second quarter compared to the disconnections of around 6,000 of the first quarter and losses of about $85,000 in the fourth quarter of last year. In video, we also experienced stronger gross sales than in the first quarter, therefore, we lost about 53,000 video subscribers during the second quarter compared to 73,000 cancellations in the first quarter and 95,000 disconnections in the fourth quarter of 2024. Our mobile net adds of 83,000 subscribers during the quarter were almost 2x higher than those of the first quarter and more than triple compared to the full year of net adds of 2024. We are able to achieve this because late last year, we relaunched a new and innovative MVNO service developed by ZTE, offering an enhanced user experience. We are confident that this new service will make our bundles more competitive, while allowing us to increase the share of wallet from our existing customers. During the quarter, net revenue from residential operations of MXN 10.5 billion, which accounted for around 91% of total cable revenue decreased by 3.1% year-on-year mainly because we had a slight lower subscriber base. However, net revenue from our residential operations remained stable on a sequential basis, potentially suggesting a turning point. On the other hand, net revenue from our enterprise operations of MXN 1.1 million, which accounted for around 9% of Cable revenue, increased by 3% year-on-year, mainly driven by higher recurring revenue. Moving on to Sky's operating and financial performance. During the second quarter, we lost 347,000 revenue-generating units, mostly coming from prepaid subscribers that had not been recharging their services. In addition, beginning in the second quarter, we started to charge an installation fee of MXN 1,250 to all new satellite pay-TV subscribers to increase the return on investment for this service. This translated into a slowdown in video gross additions for Sky. Sky second quarter revenue of MXN 3.2 billion declined by 16.3% year-on-year, mainly driven by a lower subscriber base. To sum up, segment revenue of MXN 14.8 billion fell by 5.9% year-on-year, while operating segment income of MXN 5.7 billion, declined by 4.2%. Our operating segment income margin of 38.4% expanded by 70 basis points year-on-year, mainly driven by the efficiency measures that we have been implementing and synergies from the ongoing integration between Izzi and Sky. On a sequential basis, our operating segment income for the second quarter was basically flat, while our operating segment income margin expanded by 60 basis points. Regarding CapEx deployment, our total investment of MXN 2.1 billion accounted for 14.3% of sales during the second quarter. Finally, operating cash flow for Cable and Sky, which is equivalent to EBITDA minus CapEx was MXN 3.6 billion in the second quarter, representing 24.1% of sales.
Alfonso de Angoitia Noriega: Thank you, Valim. Now let me walk you through the TelevisaUnivision's second quarter results. The company's second quarter revenue of $1.2 billion declined by 4% year-on-year, while adjusted EBITDA of $398 million increased by 10%. Excluding the impact from the depreciation of the Mexican peso, TelevisaUnivision's second quarter revenue remained unchanged year-on-year despite the impact of the renewal cycle with key distribution partners in Mexico. On the other hand, adjusted EBITDA increased by 14% year-on-year, reflecting margin expansion driven by the benefits of a streamlined cost structure and continued DTC profitability. Moving on to the details of our revenue performance during the quarter. Consolidated advertising revenue decreased by 5% year-on-year or 1% excluding the FX impact. In the U.S., advertising revenue was 2% lower, reflecting a sequential improvement compared to the first quarter as growth in ViX and linear ratings stabilized driven by the strong performance of our content. In Mexico, advertising revenue declined by 13% year- on-year, driven by the depreciation of the Mexican peso. FX neutral advertising revenue in Mexico was stable, driven by ViX and a strong sports programming slate that was partially offset by a decline in local advertising revenue. During the quarter, consolidated subscription and licensing revenue was flat year-on-year, but grew by 2%, excluding the FX impact. The growth was driven by ViX's premium tiers in both geographies, offsetting linear platform declines primarily related to the renewal cycle with key distribution partners in Mexico. In the U.S., subscription and licensing revenue increased by 9%, while in Mexico, it fell by 23%. Excluding impacts from FX and the renewal cycle subscription and licensing revenue in Mexico grew by 13%. To wrap up, Bernardo and I remain confident that our focus on value customers efficiencies and ongoing integration between Izzi and Sky at Grupo Televisa and further integration and operational optimization at TelevisaUnivision now that our DTC business has gained scale and achieved profitability will allow us to create greater value for our shareholders throughout this year. Now we're ready to take your questions. Elcita, could you please provide instructions for the Q&A.
Operator: [Operator Instructions] First question today comes from Emilio Fuentes from GBM.
Emilio Fuentes: First of all, regarding TelevisaUnivision, I was wondering how you're thinking the business in light of the ongoing separation between content streaming and Cable TV in the U.S. you still see value in keeping distribution and content bundles, both through streaming and linear channels? Or would it make more sense to separate from the traditional Cable TV. And regarding Sky, given the current rate of these connections to this eventually become a cost burden for Izzi? Or is that something you want -- you would not allow to happen?
Alfonso de Angoitia Noriega: Thank you, Emilio, for your question. I think that the transactions that Warner and Comcast did make a lot of sense for them. It's part of the evolution of this industry that is undergoing an existential transformation. For us at Televisa, the distribution business or selling our networks to distributors is still a $1.1 billion revenue business. Our channel packages continue to be very strong, especially in entertainment and sports. We just renewed our deals with DIRECTV and Cox and we just launched our U.S. networks on Hulu. So it makes sense for now to keep everything together as a bundle. But we will always analyze alternatives to generate value. Dave Zaslav is Director of ours. He's part of the Board of Directors. And we learn always a lot from Dave. So we'll keep analyzing alternatives. But for the time being, it's a large business, and it makes sense to keep it together. As to your second question, I'll ask Valim to answer it.
Francisco Tosta Valim Filho: Thank you, Emilio. I think that's a great question because it gives me the opportunity to address an issue that I see there's a little confusion regarding Sky. As far as the integration is concerned, we are almost towards the very end meaning that all the cost structure that Sky used to have has now basically disappeared. So Sky, as we see it, is a revenue stream of prepaid and postpaid subscribers with a variable cost of programming and a satellite cost. Other than that, everything is already embedded in the infrastructure that Izzi already has. So there is no potential likelihood of Sky being a burden because it only becomes a revenue stream. And like we've mentioned before on the initial presentation, we are charging installation fee of MXN 1,200. So we make sure that we have a payback on every new subscriber. So but the connections don't generate any sort of CapEx or OpEx to us basically as we collect them as part of the payment that they have to pay back as part of collections. So there is no impact. So if I see this moving forward, Sky, it will be this revenue stream that will be declining as it is in this business everywhere in the world. So that there is a declining rate of revenue, but still a very robust, very high margin generation. And since what we are paying or will be paying for the stake that we bought, we basically have amounted for that in the first 12 months of synergies, so everything else that Sky generates from now on will be basically going to the bottom line of our business. So I think there needs to be some clarity. So we're not so concerned about the decline of the Sky business because that was already in our forecast and for technological reasons, we don't see that changing anytime soon. But we are, yes, generating a lot of cash from that transaction that we think was very profitable to all of us.
Alfonso de Angoitia Noriega: Yes, I think to add on that, the deal that we made when we bought 42% of Sky from AT&T was a great deal and the execution by Valim and his team in terms of the synergies that he was mentioning has been great. So now it's all a matter of extending the life of the subscribers that we have. But of course, it's no surprise to us that we have lost subscribers, and we have -- we will continue to lose subscribers as the whole industry, the DTH industry is in secular decline.
Operator: Our next question comes from Olivia Mogavero from JPMorgan.
Olivia Mogavero: My first 1 would be on CapEx. Could you comment on your expectations for the year? Do you see room for a downside revision on the guidance? And are you still targeting the 1 million homes passed for 2025? And the second one, we see broadband adds going back to positive territory. What can we expect for the second half of the year? Could you comment a little bit on your trend trajectory and how has been the response to your strategy to focusing on value clients? And what do you see as a healthy level for gross adds, net adds and churn for the second half of 2025?
Alfonso de Angoitia Noriega: Olivia. Yes, as I mentioned in the opening remarks, we have updated our CapEx guidance for 2025 from $665 million to $600 million that had been previously disclosed. And I'll ask Valim to go into the details.
Francisco Tosta Valim Filho: Thank you, Alfonso. I think that -- and also like it was said in the beginning, this is mostly due to more efficient negotiation with suppliers. And because of the way we approach the market with a very focused approach on higher-end subscribers, we don't have to worry too much about just bringing a whole bunch of subscribers, they will churn very quickly. And that's why churn is at its lowest rate not only in this company, but also in the industry overall, which we think is very valuable. So as we see the world moving forward, we anticipate churn to be low because of the things that we are doing into retaining and value our existing customers, but also, we are targeting growth of those high-end, more reliable and more stable customers. So we don't -- we are not trying to become the leader in market share of net adds -- what we are trying to do is start increasing quarter-over-quarter the revenues of our cable business. Like I said, the Sky discussion, I just mentioned that a second ago. So that's our focus. So we see, yes, the trend moving upwards in terms of quarter-over-quarter revenue growth and growth not huge growth, but still growth in terms of subscribers in cable. I think that was basically your question. I don't know, if you -- if that answers what you had in mind.
Olivia Mogavero: Yes, that answers.
Operator: Our next question comes from Milenna Okamura from Goldman Sachs.
Milenna Okamura: The first 1 is you mentioned that you continue to focus on high-end customers. Could you please tell a little bit about your commercial strategy recently? And how have you seen competition evolving?
Alfonso de Angoitia Noriega: Thank you, Milenna. Valim, can you please go over the questions.
Francisco Tosta Valim Filho: Yes. So like I said, we don't have any changes in that. We see the competition in Mexico being very, very rational. And I think that's a key element of the success of our strategy in this market. All the players are being very rational. Prices are -- they do not increase, but we don't see anyone discounting significantly prices, which means all the major players are seeing this as a stable market moving forward. So no one should see big swings either way.
Operator: [Operator Instructions] Our next question comes from Matthew Harrigan from Benchmark.
Matthew Joseph Harrigan: There's a real tendency in the U.S. for more consumption of specialty sports, but also hit streaming shows and even linear programming on social media, Tiktok, and obviously, a lot of streaming consumption is on YouTube, and it doesn't really monetize that well yet, especially for sports. With your primacy in Spanish language, media, what are you doing to get more efficient on realizing the digital revenues because your profile there including on sports is really important. And then second question, and I know this is just inherently fuzzy, but any new concerns on U.S. tariff policy and specifically anything that might affect the composition of your programming was so much being produced in Mexico City on a very efficient basis. Congratulations on the cost savings, a remarkable job.
Francisco Tosta Valim Filho: Thank you, Matthew. Yes, I mean, there is a tendency, where sports and also entertainment content is being streamed, of course. And we're putting a lot of effort at TelevisaUnivision into selling more digital packages. I don't know if you saw, but we brought in a head of sales in the United States, Tim Natividad, that comes from Tiktok. And he's somebody that knows a lot about the digital market and he will help us to enhance all our digital products. So now we have centered on ViX and selling advertising on ViX. That has picked up. ViX is now a $1 billion revenue business. including subscriptions and advertising sales on the AVOD product. So that has become a real and substantial business. However, we're also enhancing all our digital sales, more especially in the U.S., where we have to do a better job. So Tim will help us in using basically our sports assets and our entertainment assets to build up and enhance those sales. We're also doing a much better job in windowing our content. We own the sports rights, and we own most of our content. And now we have achieved Content Officer for TelevisaUnivision. As you might remember, before we had a content officer for ViX, a content officer for Linear Mexico, and another 1 for linear in the United States. Now we have unified that position. And now the Chief Content Officer is a seasoned executive that comes from Televisa and he's in charge of basically windowing all our content, including sports and of course, enhancing our monetization of that content. So I think we have a much better team now and we're doing things much better, and you'll see the results this year and in 2026. So I think that we're doing a much better job there, as I was mentioning. And what was your second question?
Matthew Joseph Harrigan: Just all the volatility in U.S. tariff policy and the posturing and you occasionally see hypotheticals, where there's effects on entertainment companies. I mean clearly, you produced a lot of programming down in Mexico City that's also showed in the U.S. I know that wasn't a primary concern, people think more about agriculture and cars and [ chips ] and all that, but you have seen articles in the trade press about people, the major studios, starting to worry about some things that administration might do or could do. It doesn't seem like it's too likely to happen, but it's definitely much more on people's radar screens than you would have thought before Trump was elected to say the least.
Alfonso de Angoitia Noriega: Yes. Great question, Matthew. Fortunately, digital content is not considered a physical good for purposes of tariffs. So all the shows and films produced in Mexico and that are aired or streamed in the U.S. remain outside of the scope of the tariff loss. And under the U.S. MCA, that it's currently exempt -- it exempts digital transmitted content from tariffs. So we never know and we can never predict what is going to happen in respect to tariffs as you have seen many things change. But we think that we're in solid ground now.
Operator: Ladies and gentlemen, with that, we will be concluding today's question-and-answer session. I'd like to turn the floor back over to management for any closing remarks.
Alfonso de Angoitia Noriega: Thank you very much for participating in our call, and we're always here to answer any questions that you may have. Have a great day. Bye.
Operator: Ladies and gentlemen, that does conclude today's conference call and presentation. We do thank you for joining. You may now disconnect your lines.